Operator: Good afternoon. And welcome to the Offerpad Second Quarter 2022 Earnings Call. My name is Sam, and I will be your moderator today. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I'll now turn the call over to Stefanie Layton, Vice President of Investor Relations and ESG at Offerpad. Stefanie?
Stefanie Layton: Thank you. And good afternoon, everyone. Welcome to Offerpad Solutions Second Quarter 2022 Earnings Call. Our Chairman and Chief Executive Officer, Brian Bair, and Chief Financial Officer, Michael Burnett are here with me today. During the call today, management will make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently uncertain and events could differ significantly from management's expectations. Please refer to the risks, uncertainties, and other factors relating to the company's business described in our filings with the U.S. Securities and Exchange Commission. Except as required by applicable law, Offerpad does not intend to update or alter forward-looking statements, whether as a result of new information, future events, or otherwise. On today's call, management will refer to certain non-GAAP financial measures. These metrics exclude certain items discussed in our earnings release under the heading non-GAAP financial measures. The reconciliations of Offerpad's non-GAAP measures to the comparable GAAP measures are available in the financial tables of the first quarter earnings release on Offerpad’s website. I'll now turn the call over to Brian.
Brian Bair: Thanks, Stefanie. Hey everyone. I appreciate you joining us today. I'll cover some company highlights, market trends, and our focus for the remainder of the year. Michael will share our second quarter 2022 financial results and our third quarter 2022 expectations. Highlights for the first half of the year includes we generated nearly $2.5 billion in revenue and $52 million of net income. We filled more homes in the first half of 2022 than we did during all of 2021. We completed more than 6500 renovation projects with an average timeline of 21 days. We maintained an average timing from home acquisition to sale below 100 days, everyone fix new markets. We also continue to see increasing customer interest in our solutions. More people visited our website during the second quarter than ever before. Requests for an Express cash offer also hit an all-time high. The interest validates the increasing level of awareness around our services and the value we provide to customers. For our FLEX listing service, transactions increased 47% quarter-over-quarter and a 123% year-over-year. In the first half of the year alone, we started more listing agreements that we did during all of 2021. We made great progress for FLEX and we expected would be an increasingly important solution as the real-estate market adjusts. The choice between our Express cash offer and our FLEX listing service not only provides customers and more innovative experience based on their preferences, yet also provides the company diversified revenue streams with different advantages in either a buyer or sellers' market. Our ancillary service offerings also grew in the second quarter. Our prepared home loans reached more customers in more states with loan volume increasing 37% over quarter one. In addition, Offerpad's Home Loan have a new mobile app and consumer portal making it easier to shop this solution. The new app will deliver a completely digital mortgage experience from start to finish. Utilizing powerful communication, self service to all, the app unites borrowers, loan officers, and Offerpad growth and experts to provide a streamlined home buying experience. Enhancing our Offerpad's home loans product is another step towards becoming a one-stop solution for home owners. Our 94% customers have satisfaction in the second quarter, remains a key indicator that our services continue to resonate with customers. A great example comes from Rachel Austin, Arizona. Rachel bundled by buying a new home, sold her existing home and using our Offerpad home loans mortgage service. She posted "I highly suggest their bundling packages. I received discounts for using their Realtor and Lender," Rachel shared. "I was so nervous buying my first pre-existing home, I learnt so much. I will definitely Offerpad again." This is why we do what we do because that either way to make buying and selling a home easier. Turning to broader real-estate market, the softening we have been expecting is here. Over the last 18 years in real-estate, I have learnt when markets adjusts especially this quickly, it's very important to be decisive and get proactive with owned inventory. You want to sell your current inventory quickly and replace it with new inventory underwritten for today's climate. Keep in mind, most homes we own currently and homes that are just closing today were underwritten back in March and April under completely different market conditions. For example, the home we underwrote then potentially had no other homes in the market within a mile, now today when that home hits the market, it has 7 to 10 comparable homes. I'm going to talk through several dynamics we're seeing nationally and then walk through how we are proactively adjusting to the unique market conditions. Housing supply increased rapidly from a low of 1.6 months in January to more than 2.5 months supply. But that increased interest rates quickly and mortgage rates increased from the historic lows to over 6% at a high point. In June alone, mortgage rate increased 75 basis points in just four business days. The phase of change in rates on top of the home price depreciation is added to consumer affordability challenges and it cost some buyers to wait on the sidelines for things to settle. Normal market we're seeing the same attitude of change. In general, the markets sort of seen the greatest rates and price depreciation are being impacted the most. For example, the Midwest and Southeast including markets in Georgia, North Carolina, and Florida are currently showing active buyer demand. The Southwest move faster with visible softening in our Phoenix, Denver, Austin, and Las Vegas markets. This is a good example of how our geographic diversely mitigates risk during the transition between market cycles. The diversification we have today have been positively and intentionally established over the last six years, set towards in the resiliency of our business. Our team's extensive real-estate experience is another strength to point our ability to execute through different market cycles. Our regional general managers have an average of 22 years of real-estate experience and our local general manager have an average of 17 years. So how do we put this expertise in use? We have a sophisticated underwriting model with various leverage we can poll in different market conditions. Because the market had been so hot for so long, we built in some cushion for each home and change the market slowed. We saw this happen but this cushion has allowed us the price our inventory to sell after a swift deceleration or home price depreciation without having to take a larger interim as then we are. To adjust, we revised our overall buybacks that's putting a cap on our purchased price in several markets conducting real time market-by-market reviews of our inventory. We are prioritizing acquisitions closely to each market medium price point and we're offering our FLEX listing service to customers with higher type homes. We reduce the length of time available for customers to select their closing date, reducing the 90-day closing time they had in the past. Our acquisition teams said they had an underwriting assumptions to account for additional risks by incorporating wider spread adjusting for increased active inventory on the market, increased our estimated holding times, increased our service fee and interest expense among other items. One other important adjustment that we have made is with our renovations. Our team has increased the amount of upgrade on certain properties to ensure homes have the inviting look and feel buyers want. When inventory increases and multiple contingent homes are available to choose from, we want our home to sell first. This helps limit ourselves to extended home lead times. Moving our exposure to extended holding times will be increasingly important during the second half of the year. The efficiency and effectiveness of our renovations can mitigate the risk by reducing extended time to cash and aged inventory. In the second quarter, our team completed over 3500 renovation projects, with an average investment of $17,000 per home. The average duration in renovation improved to 20 days in the second quarter compared to 23 days in the first quarter. The sophistication of our renovations operation is unique. And it will be an important near-term strength. As always, we are closely watching and managing inventory over and over 180 days. Because with similar proactive measures I mentioned above, as of June 30 owned inventory over a 180 days was less than 2%, well below our target of less than 10%. We know the real-estate market is fluid and short-term results can fluctuate. But we believe this flushing is temporary as one of the country's largest home buyers we believe Offerpad will have great opportunities as the market stabilizes into what we expect will be a stronger buyers' market. When it takes sellers weeks or months to sell their home in a traditional way with no certainties and no control, we believe more-and-more consumers will come to Offerpad. Looking forward, I've complete confidence that we are well-equipped to deliver on our long-term goals helps in pointing our customers and delivering sustainable shareholder value. On that note, I'll turn the call over to Mike.
Michael Burnett: Thanks, Brian. Today, I will cover our second quarter 2022 financial results, review a few key valid points and provide an outlook for the third quarter. As Brian mentioned, our Q2 results capped off a strong first half performance. Revenue on the second quarter increased 185% year-over-year to $1.1 billion. With approximately 70% of the growth driven by higher volumes from increased market penetrations within our existing markets and new market expansions and approximately 30% to the increase in average sales price. We sold 2888 homes in the second quarter, a 129% increase year-over-year with an average sales price of $372,000 compared to $298,000 in Q2 of the prior year. Our acquisition of 3792 homes in the second quarter was consistent with a typical seasonal first second quarter increase. And as of June 30, we own 3561 home across 27 active markets. We reported second quarter gross profit of $93 million or 8.6% gross margin, net income of $11.6 million, adjusted net loss of $1 million and adjusted EBITDA of $13.7 million. Each of these amounts include the $21.2 million inventory impairment charge which I will discuss in more detail momentarily. As when this charge, each of this metrics would have been $21 million higher including adjusted EBITDA which would have come in at $34.9 million. Fully diluted earnings per share on a GAAP basis was $0.04 per share and includes a $0.04 benefit from marking-to-market the warrant value and an $0.08 charge from the inventory impairment. Coming back to discussion of the inventory valuation adjustment or impairment, at the end of every period we evaluate each home in our inventory to determine and the carrying values recoverable based on our expected sales proceeds. To the extent in that proceeds do not cover the carrying value, we recorded charge for that expected loss in the current period. Quarterly charges that range from $63,000 to $1.8 million over the last three years but generally well below 1% of the total inventory. At the end of June when we performed this assessment, some market such as Denver, Austin, and Phoenix, have experienced slowdown in demand for residential housing as a result of the combination of the rapid rise in mortgage rates and robust home price depreciation in that a market. While we are then making adjustments in the quarter to underwrite new acquisitions to incorporate wider spreads and lower sales price assumptions, the homes already in inventory were underwritten under very different market conditions. As such, we calculated the value given our current assessment with the best available information and then recorded in charge of $21 million in the quarter. Over the next couple of quarters as reseller inventory that was acquired under previous market conditions and replaces with homes that we acquire in the current environment, we expect to return to more normalized levels of returns. Returning to the discussion of our Q2 results, contribution margin after interest for the quarter came in the $28,500 for home or 70.6% of revenue and has been between 5% and 10% over the past eight quarters. In periods of price depreciation like we have experienced over the past few years, we have been able to absorb the increased input cost of acquiring homes at higher rates to not have sales prices on the back end. In more of the buyers' market, our attributes or convenience, certainty and control are even more highly valued by the perspective sellers, so we don’t need to lean on the home price depreciation to increase returns. By adjusting the variables in our underwriting process through the combination of our asset valuation models and in-market real-estate teams, we remain consistent with our expectation of generating annual contribution margin after interest up 3% to 6% and to increase that margin over the longer term. From an operating cost perspective, we continue to demonstrate the ability to leverage top line growth and increased efficiency to scale across the organization. For the quarter, sales marketing and operating cost improved 230 basis points year-over-year to 6% of revenue. Our technology in development cost improved 40 basis points year-over-year. G&A had a slight increase of 14 basis points year-over-year to a 1.5% of revenue. The prior year period cost for G&A do not include the public company cost which began in our Q3 2020 public company combination. In addition to the financial metrics I just addressed, there are several other key data points we monitor closely to assess our performance. We have previously shared that our goal is to keep our average time to cash full at 100 days. In stronger market, that metric has dropped down into the mid-60s. And with [sober] conditions, we would expect to be at or slightly above that mark. In the second quarter, our time to cash was 83 days which improved from a seasonally higher 96 days that we saw in Q1. This marks our eighth consecutive quarter with time to cash flow 100 days. Another important metric is our inventory aged over 180 days. As Brian mentioned, as of June 30 we were less than 2% aged well below our target of being under 10%. This is a strong inventory position as we enter this period of changing market conditions. With the softening of the market, we do expect our aged inventories to increase from the exceptionally low current levels. Inventory turnover will continue to be a key focus of the company in the second half of the year. From a capital structure perspective, we continue to make positive structures. In June, we added $200 million of our rent capacity under one of our credit facilities and expanded the maturity date to June 2024. In July, we increased borrowing capacity with one of our mezzanine debt facilities by over $30 million and also extended the maturity to June of '24. We now have access to $1.9 billion of inventory financing capacity across eight different facilities. Lastly, our cash balance at June 30 was $155 million. We are proactively adjusting our operations to reflect the changing needs of our customers and our company as the real-estate market shifts. Over the next couple of quarters as e work through the process of selling inventory homes that we expect to produce lower margins due to the change in market conditions. We expect to rebuild that inventory with homes acquired at values more reflective of recurring environment. With continued strong request volume and an established track record in our markets, we believe we are well-positioned. Specifically for the third quarter, we expect to sell between 1700 and 2200 homes, generating revenue of between $600 million and $800 million. We also expect adjusted EBITDA will reflect the variability in market conditions and will trend down in the short-term between negative $20 million and negative $40 million. Our guidance ranges are a bit lighter than our norm this quarter given the current market conditions. As we built up the technology scale and expertise at Offerpad in the past seven years, we entered this term from a solid position. The geographic diversification of our inventory, low level of aged inventory, differentiation of our renovations model, minimal supply chain constraints and an improved balance sheet all support our ability to manage through the transition period. Fundamentally, our investment pieces remain the same with a large addressable market, focussed business model, competitive differentiation and an attractive growth for a while. We are confident in our ability to adjust in the short-term and to deliver long-term value to our customers and our shareholders. I'll now turn the call back to Brian for some concluding remarks.
Brian Bair: Thanks, Mike. Providing guidance at turning point of the real-estate cycle is a difficult business. Over the first half of the year, mortgage rates have increased nearly 3% from roughly 3% to 6%. For a $430,000 home assumed at 20% down payment, that moves the mortgage payment from just under $1500 to just over $2000 or 40% plus increase. Moves like that over short period of time are rare and obviously create issues for buyers from an affordability point-of-view. With the fact, that's an inefficient move in mortgage interest rates, buyers likely pause to reassess what they can afford. While there is still a medium-term structural shortage in housing supplies, in the short-term we believe markets that have enjoyed the most home price depreciation may see the most significant home price declines. There'll be extent of the decline will likely be market dependent. Lowering home price expectation is prudent and underwrite the renewing behind our impairment charge in Q2 and our Q3 guidance. We expect price adjustments to impact our earnings in the near-term, then as the market shifts from a sellers to buyers' market, we expect our margins will improve. At Offerpad, we believe there is an opportunity in both seller and buyers markets. We saw a great success over the past year the heavy sellers' market, now when it takes sellers mortgage sell their home, home owners been giving more certainty control over the transaction by coming to Offerpad. As the market settles, we expect our guidance proposition and strategy to produce improving margins in Q4. As volume should likely return to normal levels in Q1 starting an Offerpad upward rate 2023? I'll now turn the call over to the operator to begin the questions and answers session.
Operator: Thank you. [Operator Instructions]. We will now take our first question from the line of Dae Lee with J.P Morgan. Dae, your line is open.
Dae Lee: Okay. Thanks for taking the questions. I'll ask two. So the first one, you guys have talked about sustaining in a short-term volatility and I think Brian just mentioned that in the Q4 sounds good starting for the 1Q and then preferred it from that. So what gives you the confidence that this is more short-term and are you seeing any in times of stability right now?
Brian Bair: Yes. So, hi Dae. And it's barely market you know market specific. Right now we're seeing some markets much more impacted than others. And so, the short-term goes into the buyer demand of what here'll be affordability and buyer demands, more buyers on the hands for a little bit. How quick it happened was definitely different. We are starting to see that like for example adjusting some of our price points that we're talking about as I just mentioned. We're starting to see buyer demand pick up a little bit. Mortgage rates have been fluctuating a little bit back-and-forth which has been helpful. But one other things that we're doing is definitely building in wider spreads right now as it's a little bit more I'm certain. And so, we add it's like we're depending on weeks, we're watching it very closely and get varied market specifics.
Dae Lee: Okay, got it. And then, second one maybe this one is for you, Mike. I think you guys talked about there being around 3500 homes at inventory right now. And how should we think about or is there any way to think about relative to the homes that you bought in and rest of that from the environment back in March and April versus the current environment that you guys talked about in the call?
Michael Burnett: Yes. Thanks, Dae. On the inventory, we've got you're right we got a little over 3500 homes at the end of June. If you recall, we were Q1 seasonally is a little bit lower of an acquisition period for us. So we were building inventory throughout Q2. So there is a decent normalized stratification there. When you take a look at when we were going through some of the work that we were doing on the impairment, we assess the entire portfolio, there were about a 1000 homes being they were impacted. And most of those tended to be earlier acquisitions under the earlier greater change market conditions if you will. So I think it's something that you'll see us work through here over the next couple of quarters getting those out in the normal course and like I think at the same time as Brian mentioned we've changed the underwriting criteria and we've been doing that as we’ve go on through the months here and adapting here. But the demand really tend to this slow things down at the end of June as we moved on. So that's our current outlook.
Dae Lee: Yes, I understand. Thank you.
Operator: Thank you, Dae. The next question comes from the line of Ryan Tomasello with KBW. Ryan, your line is open.
Ryan Tomasello: Hi, everyone. Thanks for taking the questions. Can you provide some color on how gross margins trended through the quarter and perhaps 3Q to-date if you have data to share particularly within some of your larger markets, for example, I take Phoenix in particular has seen HPA decelerate by over 10% from recent peaks. And I guess, looking back at your inventory management having into the slowdown, what lessons are you taking from that performance heading into what's likely to be an even more volatile period in the second half specs.
Michael Burnett: Yes. I'll take the first part of that Ryan, just on the gross margins. As you would expect throughout the quarter, they started to trend down. And so, we have been seeing very good returns HPA environments, had frankly continued longer than I would tell you that we had even expected. As you know, we've been talking for six, nine months, now about the market normalizing away from the higher HPA environment that we've been seeing for quite some time now. We've been preparing for that. So we did start to see some of those margins come down through. And again, it really is dependent market-by-market. Our Midwest operations that we’ve opened up within the past year have been a good sign of stability within the portfolio. The Southeast has been also held in there pretty well. But as you mentioned Phoenix is seeing some pretty dramatic movement as has Austin and Denver is another market that we pointed out earlier. So as we get into Q3, obviously we've got the some of the charge from the impairment that we're taking this quarter. But we would expect those to come down and then bottom out and as we are able to put more accretive margin homes to work in the third and the fourth quarter to begin to balance and bring that back up again.
Brian Bair: And obviously been. But I know the Phoenix have always been the super strong market for us and you are spot on the home price appreciation and what you're seeing at home prices in Phoenix and how quickly it's happening from a lot of inventory heading the market rapidly and affordability issues. And so, back to your question what are we learning. Obviously we're underwriting that market much differently as you can see we're slowing acquisition temporarily and in a market like Phoenix. A market that declined is actually not bad as long as we get a good feeling and it's consistent. And if understand what we can do, there's opportunity there for us. Right now, it's just really volatile, still you have a lot of inventory hitting the market really quickly. And prices are really inconsistent as well. And so, markets like that you want to be able to slow your acquisitions in a market like that and focus on markets that will help you. Might like much of the Midwest or some of the Florida markets, there's still a decent buyer demand there and there's opportunity there.
Ryan Tomasello: Thanks for that. And are you expecting additional margin impairments for the third quarter, is that thing that’s reasonable to model. And regarding the guidance, can you see and contribution margins. Those ranges contemplating how to think about, I guess that cadence of bottoming and improving margins into the end of the year?
Brian Bair: Yes, right. In terms of our expectation for impairments in Q3, we're not currently expecting to see that in magnitude again. If you take a look at that -- the impairment charge of $21 million this quarter and our guidance for Q3 which you end up with us. You can obviously see it's pulled back a bit. That's the result of the homes that we've impaired selling through some of those. Those will essentially come through the P&L at a breakeven type margin. There is other homes in the portfolios we got through the evaluation that we've reduced prices on some selling prices on but we're still going to make a profit on those. And so, there is no impairment associated with those but those two come through Q3 and Q4 at lower margins than the norm. And then, mixed in there -- are the homes that we're acquiring and turning over that we've underwritten with increased spreads. So we don’t really give out forward looking gross margin contribution margins guidance. So I think we'll just tend to leave the EBITDA ranges that we have for Q3 and really see what we're at, being looking at Q4 from there.
Michael Burnett: Hey, Ryan. One thing I'll add there is the majority of the impairments came from that the Phoenix, the Denver's, the Austin's and we tried to get really smart there. We don’t want to dump the inventory, we want to make the best real-estate decision we can make with that inventory. We want a price set where we can move that inventory quickly. But more that and to your point earlier, some of those inventory, some of those markets have dropped 8%, 9%, 10%. So we want to take a healthy drop on those properties to move through those. So we wouldn’t have and the whole point of exercise is to get aggressive and move through some of the inventory now as quickly as possible with making the best real-estate decision, so it wouldn’t have issues in the future.
Ryan Tomasello: And just to clarify, could we -- the impairment in the quarter related to about a 1000 homes and you're expecting about a breakeven gross margin on those homes when they sell in the third and fourth quarter?
Michael Burnett: That's correct, yes.
Ryan Tomasello: Okay. Thanks for that.
Operator: Thank you, Ryan. The next question comes from the line of Jason Weaver with Compass Point LLC. Jason, your line is open.
Jason Weaver: Hi, good evening. Thanks for taking my questions. Given your comments on as transitioning into a buyers' market and then also the record number of monthly average users, can you give any context around the growth and Express offer request and or conversion rates within your existing markets, it's sort of versus where we were last year.
Brian Bair: So that, the Express service the first part of the question. Sorry, can you repeat the question I said?
Jason Weaver: Does Express offer request in convergent rate?
Brian Bair: Yes. What we've seen which is not a surprise as the market is transitioned, and a lot of these markets we could buy as many homes as we want and now we're just uncertain about, we want to make sure there's more certainty in the market. So as the market slows and sellers have more issue selling the home the traditional way and more-and-more people are coming to Offerpad. So as we saw in second quarter, our conversion was very strong and especially towards the end of the second quarter when you start to see the market change rapidly. And we continue to see that today as the market starts to slow for sellers we're seeing more-and-more people that start their experience at Offerpad first.
Jason Weaver: Okay, thank you. And just a follow up. Can you give some more colour around the 3Q guide on homes sold? How much of that is the overall macro environment versus the changes you are making to your buybacks or acquisition criteria?
Brian Bair: I'd and really say it's a lot of it’s driven by the macro environment because really what has been challenging is the speed at which we've seen the buyer demand pull back and again primarily due to affordability issues driven by a rapid increase in mortgage rates. And with the backdrop in some of the markets where we're seeing the greatest impact of that home price appreciation which has been very strong in the markets we have listed. So it's really trying to get our footing on how quickly it does that buyer demand come back, we've got good strong positions, good strong homes on the market. I think you just have buyers out there that are paused and a little bit in wait and see mode right now, trying to understand where they think mortgage rates are going to go and where home prices are going to go.
Michael Burnett: Yes. And if you track mortgage rates recently, you'll see how volatile the mortgage rates were, I think yesterday they were, they were below five for the first time in a long time and they've increased way above five just within 24 hours. And so, the normal buyers not tracking mortgage rates every day. And so, those are things and that's where the volatility a lot of things like that are happening. And so, that's where again is the best real-estate decision is just to slowdown acquisitions especially in some of the markets that are being affected more and then being able to wait for things to settle and inventory settle a bit and then there is, there is a lot of opportunity moving forward in those markets.
Jason Weaver: Thank you.
Michael Burnett: Thanks.
Operator: Thank you, Jason. The next question comes from the line of Nick Jones with JMP Securities. Nick?
Nick Jones: Thanks for taking the questions. Two if I can. I guess, one, you talked about kind of varying dynamics by market. Other markets that perhaps you're not in that, you give potentially more aggressively or you can more aggressively enter and the dynamics are either more resilient or further ahead where you can have better clarity. And I guess, is there any change in how you're thinking about market expansion or as kind of the dynamic unfolds?
Brian Bair: Yes, it's a great question. So we're definite. And if you look at the tracking of affordability in markets and you look at affordability in the Midwest markets that haven’t been impacted by the amount of price decreases in some of the things that you're seeing. The affordability is much stronger in those markets but if you look at the West or the West Coast markets South West markets as we've mentioned, the affordability is really off the charts. And so, as we look at expanding more markets, we definitely have an eye on affordability. Because this as mortgage rates reached a high in a long time and into the high fives or sixes and then you have the medium home price retail for 400,000 to that combination providers and so that obviously that's what slowed and slowed the market so rapidly. So that is definitely something where it's exploring affordability is becoming a very hot topic around here as looking at new markets.
Michael Burnett: And Nick, I would add a couple of other things there too. If you take a look at our footprint landmark expansion that we grew out this year in 2022 and we're very intentional about going into California early in the year to establish ourselves in those markets. Those have been coming online. We don’t have a big presence there as we're moving into it. And that's proven to work out to our benefit right now. But it has us positioned well as you move through the cycle for those to be really good markets for us moving forward. The other market build-out we really focused on a combination of Midwest markets and satellite markets for us. And we were doing that with an eye to risk management. Because we had a lot of discussions about how the HPA environment has been very strong for long time -- is it's going to slowdown at some time. So satellite markets are much more efficient for us to get into to a generally smaller markets that are close to some of our hub markets that we can leverage our management teams there from cost perspective but they are all some more affordable markets. And those are really showing to be prudent moves for us during this year and during this particular cycle move.
Nick Jones: Got it. And then, that makes sense. And I guess a question on acquiring homes, a pretty large capacity. So is this kind of reflective, I guess, 3Q guide and the commentary on back is that reflective of this kind of being a little bit longer term? Or is there a scenario where you can use your capacity kind of change your algorithm a little bit or your feeds to kind of just kind of buy through this pressure? I think kind of longer term, a lot of economists are expecting rates actually pulled back by 2024. So there's a scenario where you can just kind of grow through, we'll call them kind of miss purchases to kind of make up for any impairments. I'm not sure if that question makes sense. But ultimately, can you kind of buy faster to make up for a more challenging environment given the borrowing capacity?
Brian Bair: Yes it's a great question. And the answer to that is absolutely. And when the opportunity is there as you want to buy and how you make up to either misses or market changes and some of the inventory you have now is buying better product with wider spreads, it's more consistent. And that's exactly what we're focused on right now. And so it's interesting, I think one of the things that maybe one of the biggest misunderstandings about real estate is that it goes from a sellers to buyers markets overnight, but that's not. And so I think probably the question I have been asked more than anything else in the history of Offerpad is what happens in the downturn. And the answer I've always given is a downturn doesn't bother me. The downturn, there's actually opportunity to be a buyer in a buyers’ market a good place to be, the hardest place to be is when it transitions from a sellers to buyers market and that transition period at the very top, that's when it gets more foggy than ever before. And that's exactly where we're at in the cycle right now. And so that's where we're watching closely. And so, as soon as we see more consistency in our markets, there is a great opportunity as and I will tell you one thing also we're seeing is sellers are not as patient as they used to be. In a normal real estate market sellers have been on the market, say “a balanced market” six months of what it takes to sell their home. And that hasn't been the market over the last two years. And so when sellers are sitting on their home for a month or two, they're very impatient. They're don't have access to the liquidity. And so as -- that's why I keep mentioning the opportunity there. They can come to us and close on their schedule. And that's where we get really excited. But right now, we want to be really smart and make the best real estate decisions through the cycle. And, and like I said it's most of these it doesn't take long for people to find where they're at. But obviously, we're watching that closely.
Operator: Thank you, Nick. The next question comes from the line of Justin Ages with Berenberg Capital Markets. Justin?
Justin Ages: Hi, thanks for taking the question. The first one, given the highlight that you gave around in kind of the new product, is there any information you can give us on attach rates and kind of the ancillary services and how we should think about those products going forward?
Brian Bair: I don't know if we're given a attach rates. But what I will tell you, if you can get a good question, Justin is what has been nice about having our flex product. As we have widened, our Buy Box, and right now temporarily, got a little more conservative about what we're buying. As far as risk management, having our flex product has been fantastic, because instead of having to buy their home, with all the uncertainty, we can have sellers use our flex products with which they can list a home with us. And that has been a really awesome product we've had especially over the last 60 to 90 days, as more and more people are using that product. So we are seeing increased volume there. But I don't think we're talking about conversion yet, Mike.
Michael Burnett: No, not specifically. But what we can say is we're building up both obviously, FLEX has been part of the product portfolio for some time now. We're just seeing consistent growth quarter-over-quarter there as we move through that. And again that will continue to further enable some of these other ancillary products like mortgage and again there's similarly has a bit of a lesser level, just because we're starting out more soon in that particular area. It's not material for us, but we're having more opportunities and again, that our mortgage count quarter-to-quarter has been growing throughout since inception.
Brian Bair: And I think that's been the positive transition is if you guys have probably mentioned before, one of the challenges we have is the education of being a one stop solution center, not just “[indiscernible] buyer” that will pay. And right now we're seeing more and more opportunity of people looking at as a solution centers from our bundling service of using mortgages, using one of our solution experts to help them find their next house, which is really important right now and then being able to sell us their home cash or to use our listing service. So that has been, that's been something that has been getting more and more volume, especially lately.
Justin Ages: All right, that's helpful. Thanks. And then switching gears to the renovation side, given your comments, that you're adjusting the strategy to make homes more appealing to the kind of standouts, given the rising [indiscernible]. Is that going to be reflected in maybe higher average costs of renovations or seeing the number of days per project kind of pick up? 
Brian Bair: Yes, and just to highlight that renovation right now is going to be key. I mentioned a little bit in the comments. But as there's more inventory, you want your house to be the nicest home that people want to buy. And we have the ability to know with what else is on the market of how to upgrade our homes. What we still have last couple years you haven't had to put in all the bells and whistles in somebody’s homes because just the lack of supply. Now as people are choosing and as buyer demand picks up, we want to make sure that we could add different upgrades in there. The one thing with our and I think the most important to your question with our renovation teams, it shouldn't add a lot of time on that. It'll add some costs obviously, as you know, for throwing in Granite, maybe we didn't before maybe we're throwing in more stainless appliances or are doing more at the cabinets that'll add a little bit but it shouldn't really affect our, I mean goes back some but maybe a few days of our renovation times. But one of the things that I will shout from the rooftops is the strength of our renovation. The adversity, these guys have been through the last couple of years with supply issues and everything else, they've done a phenomenal job. And so putting a little and with the sophistication we have there now having them do a little bit more renovation to these homes. They're geared and ready for it.
Justin Ages: All right, I appreciate the color. Thanks for taking the questions.
Brian Bair: Thanks. 
Operator: Thank you, Justin. The next question is from Mike Ng with Goldman Sachs. Mike, your line is open.
Mike Ng: Hey, good afternoon. Thank you for the question. I just have two. First, could you talk a little bit about how you're thinking about inventory balances and purchases into the third quarter? I know, Brian, you mentioned that you're slowing acquisitions in certain markets. I was just wondering how we should think about that line exiting 3Q? And then second, I was just wondering if Mike, you could talk a little bit more about funding, has the volatility in the real estate market changed anything as it relates to the terms of your funding facilities? Have the advance rates come down? Is there more cash and you have to commit to support any of those facilities or anything like that? Thank you very much.
Michael Burnett: Right, thanks. Mike. Good questions. So in terms of Q3 acquisitions versus our expectations on sales, what I would tell you is I would anticipate acquisitions and sales being in probably in about in the same range. So we are temporarily slowing the acquisition pace, a bit here as we go month to month or just week to week, pardon me, in terms of finding where we can reengage accurately in each market. So I think for Q3, you're probably going to see levels of acquisitions and sales, given the demand characteristics right now to be pretty comparable. And therefore, inventory levels looking pretty similar as we exit Q3. In terms of financing backdrop, we really haven't seen any detrimental effects, or anything like that. We've got excellent relationships with our existing lender base. We've been, we keep in constant contact with them. Ironically, the shorter duration of the facilities, the two year facilities causes us to be back active with them on a pretty regular basis. And as we've gone through each of those renewal processes, and over the past year putting some new facilities in place, what we've seen is that we've been able to maintain terms and in certain instances, improve them and even from the standpoint of borrowing based requirements and things like that. And these are -- these kind of disruptive times when you're speeding up or slowing down a little bit. We test through some of the provisions in there. And this far, we've been in pretty good shape, and haven't really seen any detrimental effects to that. There is no cash calls or reductions or anything along those lines.
Brian Bair: And I think just to add on that, and obviously, Mike lives in the credit facility world, but I will tell you, Mike I just had dinner with one of our vendors in New York not very long ago. And I think each one would tell you that they have competence in us because we're going to make the best real estate decisions. And sometimes the hard decisions to make the best decisions for the company for our investors, but also the best real estate decisions that are out there. And so I think that our lenders have a lot of competition, we're going to make the right decisions and moving through our inventory.
Mike Ng: That's excellent to hear. Thanks for your thoughts. Brian and Mike.
Michael Burnett: Thank you.
Brian Bair: Thanks.
Operator: Thank you, Mike. Our last question comes from the line of Jay McCanless with Wedbush. Jay your line is open.
Jay McCanless: Hey guys, thanks for taking my questions. The first one I had is when you think about the inventory that you're seeing in your market, is the inventory, at medium price below median price, what are people showing you right now, and I guess I jumped on late. But if you could kind of frame that in the comments of what you're doing the buy box right now?
Michael Burnett: So [indiscernible] a couple of things there. So what we're seeing and this is where when I mentioned the volatility, what happens in these markets are you're seeing more inventory and more importantly, you're seeing sellers that have had more equity in their homes, some of these markets have appreciated 50%, 60% within just two years. So they have a lot of equity in their homes and so different than when it was actually the other cycles, were making a 25,000 or 30,000 price adjustment was a big deal because maybe they had $50,000 in equity in their home. Some of these sellers have [$203,000, $100,000] equity in their home that they've been doing pretty quickly. So where the inconsistency is coming from pricing as you're having sellers reduce prices, and I don't want a chase to the bottom but there's more inventories hitting they weren't there to sell first and so they're being more aggressive in the pricing. So what we want to do is watch out for that to get a more consistent. The way that we underwrite now just like we underwrote when the market was accelerated, we would write more in the top of where the comps are. So we would take some of the higher comps and justify for home price appreciation. It's exactly the opposite now. Now you want to you want to go low to mid where the market is and put inventory out there you're going to move quickly. And so what you're doing is you're watching active inventory more than you're watching pending and unsold inventory. And I've said for a long time active inventory is really where is the best key metric of real estate. And so we're watching that active inventory really closely and pricing it accordingly.
Jay McCanless: Okay. And then I guess for the EBITDA guidance for 3Q I mean, I'm assuming, and please, and apologies if you've already addressed this, but I'm assuming you guys are pushing a little harder, wanting to take a little bit less margin on each term is that the reason you're thinking EBITDA is going to be negative for the quarter?
Brian Bair: Yes, I mean, what we want to do, and especially just because you missed the first call some of the markets that have declined quicker than others that in some of these markets we reduced some of our list prices 8% - 10% to find where the buyers are. And the good part about that it's working. We've reduced some of the prices and we're finding buyers at those price points. It's really important to kind of distinctive [indiscernible] just trying to blow out inventory and selling whatever to get out of the inventory is much, much different than the approach that we're taking. We want to make the best real estate decision, how can we reduce the price to sell in 21 days with the information we have now. And that's what we've been doing and we've made those adjustments, we're starting to see more activity there which has been a positive.
Jay McCanless: Okay, that's great. Thank you. Appreciate it.
Brian Bair: Thank you. 
Operator: Thank you, Jay. We have no further questions waiting at this time. So that concludes the Offerpad second quarter 2022 earnings call. Thank you all for your participation. You may now disconnect your lines.